Operator: Ladies and gentlemen thank you for standing by and welcome to the ChromaDex Corporation’s Fourth Quarter and Year End 2016 Earnings Conference Call. My name is Chelsea, and I will be the conference operator today. At this time, all participants are in listen-only mode and as a reminder this conference call is being recorded. On Thursday afternoon ChromaDex issued a news release announcing the Company's financial results for the year-end 2016 and filed their form 10-K. If you have not reviewed this information both are available within the Investor Relations section of ChromaDex’s website at www.chromadex.com. And the form 10-K is also available on the SEC’s website. I would now like turn the conference call over to Andrew Johnson, Director of Investor Relations. Please go ahead.
Andrew Johnson: Thank you, Chelsea. Good afternoon and welcome to ChromaDex Corporations' fourth quarter and year end 2016 results conference call. With us today are ChromaDex’s Founder and Chief Executive Officer, Frank Jaksch and Chief Financial Officer Tom Varvaro. Today's conference call may include forward-looking statements, including statements related to ChromaDex's research and development and clinical trial plans, future financial results, business development opportunities, future cash needs, ChromaDex’s operating performance in the future, future investor interest and analyst coverage of ChromaDex, the markets ChromaDex’s products will address and the expected revenue growth of ChromaDex’s products that are subject to risks and uncertainties relating to ChromaDex’s future business prospects and opportunities as well as anticipated results of operations. Forward-looking statements represent only the Company's estimates on the date of this conference call and are not intended to give any assurance as to actual future results. Because forward looking statements relate to matters that have not yet occurred, these statements are inherently subject to risk and uncertainties. Many factors could cause ChromaDex’s actual activities or results to differ materially from these activities and results anticipated in forward-looking statements. These risk factors include those contained in ChromaDex’s annual report on Form 10-K most recently filed with the SEC. Please note that the Company assumes no obligation to update any forward-looking statements after the date of this conference call to conform with the forward-looking statements actual results or changes in its expectations. In addition, certain of the financial information presented in this call reference is non-GAAP financial measures. The Company's earnings release which was issued Thursday afternoon and is available on the Company's website presents reconciliations to the appropriate GAAP measures, and an explanation of why the Company believes such non-GAAP financial measures are useful to investors. Finally, this conference call is being recorded via webcast. The webcast will be available at the Investor Relations section of our website at www.ChromaDex.com. With that, it is now my pleasure to turn over the call to Frank Jacks and Tom Varvaro.
Frank Jaksch: Thank you, Andrew. 2016 was eventful year with significant business in corporate developments, key milestones, revenue growth and of course some challenges. Despite some challenges that we have with customer disruption and litigation, we generated 29% revenue growth in Q4 and revenue growth in 2016 was 22%, driven primarily by 34% ingredient growth. Yet, we've only scratched the surface of the opportunities we have with NIAGEN. On the corporate side, in April, we successfully executed a reverse split most investors expect stocks to decline during the reverse period; however, ChromaDex ended up after complaint the reverse split period which was a very good outcome for the Company. We successfully up listed our shares to NASDAQ in April and many of our shareholders, employees and executive team were excited to see ChromaDex recognized when we ran the opening ballot at NASDAQ in early May. The NASDAQ listing also allowed us to be added to several key Russell industries including the Russell 2000. Of course, our public market success is also led to some intended consequences shortly after our NASDAQ listing. Despite these challenges, we remain focused on hitting our objective in growing the Company. We have also seen some significant increase in institutional ownership since we were listed on the NASDAQ and that's a trend that we hope to continue in 2017. As we continue to grow, we are well positioned to attract the type of talent that we need to continue to expand the Company, and in 2016 we have added very talented and experienced people in several key senior positions at ChromaDex. Will Black joined the Company as Vice President of Sales and Marketing; Reto Rieder joined the Company as Director of Ingredient Sales; and Breah Ostendorf joined the Company as Director of Marketing. So, we've got at several key positions primarily in the sales and marketing roles within the Company, a lot of that's going to be focused on nicotinamide riboside. And as we start to get more attention towards PR related to both hopefully NIAGEN as well as to ChromaDex, we're going to continue to expand those roles based on the needs of the Company as we continue to move forward. We've achieved several other important key milestones for NR in 2016. We have received notification of GRAS status from the FDA in August of 2016. Our first human clinical study results were published in the prestigious journal, Nature Communications in October of 2016. Results from three studies including it's our first human clinical trial have been collectively published in this manuscript. A team of researchers headed by Dr. Charles Brenner at the University of Iowa, demonstrated that NIAGEN, nicotinamide riboside increases production of the metabolic responsible for cellular energy production called NAD and that data was reported in both mice and humans, which indicate that single doses of NIAGEN can elevate the coenzyme NAD in the blood by as much as 2.7 fold. In the first inhuman clinical trial which involved dosing of 12 healthy adult subjects, the group shows that blood cell NAD increased with single 100 milligram, 300 milligram and 1 gram doses of NIAGEN. Average maximum increases in Blood NAD were approximately 30% at the 100 milligram and 50% at the higher doses. Increases in Blood NAD tend to be sustained for longer times at higher doses. We started our second human trial, our human clinical trial on NR and we are now in the final stage of that study as the last participant is now on study. Study results will help to find the effective dose range of nicotinamide riboside in humans when taken daily over eight weeks. The second human trial should build upon the results of our first human trial, which demonstrated the single-dose of NIAGEN, was not only safe, but also effectively raised NAD in humans. The results of that study constitute a significant milestone as it showed the first time that an increase from NAD in humans has been demonstrated to run our supplementation. In 2016, we made significant progress on our first drug development opportunity for nicotinamide riboside. We completed our pre-IND meeting with the USFDA on November 1, 2016. During the meeting ChromaDex and the FDA discussed developmental plan for nicotinamide riboside for treating Cockayne Syndrome, which is a rear pediatric orphan disease that results in significantly shortened lifespan in affected children. We continue to expand our proprietary ingredient portfolio with the addition of AnthOrigin, which is naturally extracted anthocyanins product, which we added to our portfolio of other industry-leading health awareness ingredients. In May of 2015, you may remember we entered into an exclusive worldwide license and supply agreement for Suntava purple corn. We are now using and cultivating Suntava purple corn to use in the production of AnthOrigin. We are using it anthocyanin rich in this case purple husk versus the kernel used in most of the traditional riddles or other products that might be out in the market. Implied by its name AnthOrigin delivers high content anthocyanins and other healthy polyphenols, from U.S. origin, non-gmo purple corn husk that has been extracted using a proprietary, solvent-free, water extraction technology. There were numerous other peer reviewed published studies in very prestigious journal, such as Science, Nature and Cell Metabolism in 2016. I am not going to take the time right now to review all of those studies on the call today, but many of these publications have started to capture the attention of media and again that’s a trend that we expect that we would looking for 2016 and something that we also expect, which I’ll talk more about 2017. ChromaDex opened the state-of-the-art research and development center in Longmont, Colorado, which is an important milestone for us to continue our leadership in the identification and development of our novel ingredient portfolio, including several new NAD metabolites. This 10,000 square foot research and development center in Longmont with nearly $1 million invested to renovate the space in a state-of-the-art facility includes multiple laboratories supporting the discovery and development of normal molecules and compounds to add to ChromaDex's prior to ingredient portfolio, while also allowing for the expansion of ChromaDex's analytical service offering at our laboratory facility in Boulder in Colorado. With that, I’ll turn the call over to Tom Varvaro to discuss the Q4 and 2016 financial results. After Tom completes his review of financial, I’ll discuss our plans for 2017. Tom?
Tom Varvaro: Thank you Frank and good afternoon everyone. For the three months, ended December 31, 2016 Q4 of 2016, ChromaDex reported record net sales of 5.6 million, an increase of 29% as compared to 4.4 million for the quarter ended January 2, 2016, Q4 2015. The ingredient segment generated net sales of 3.3 million during the Q4 of 2016, an increase of 42% as compared to 2.3 million for Q4 2015. The core standards and service segment posted a 21% growth as it generated net sales of 2.3 million for Q4 2016 as compared to 1.9 million for Q4 2015. The scientific and regulatory consulting segment of net sales decreased 40% from 0.2 million for Q4 2015 to 0.1 million for Q4 2016, primarily due to our further emphasis on inner-company works supporting our ingredients segment. Gross margin for the quarter was 41% versus 37% for Q4 2015. The net loss attributable to common stock holders for Q4 2016 was 2.1 million or $0.06 per share as compared to a net loss of 1.4 million or $0.04 per share for Q4 2015. EBITDA adjusted for non-cash charge associated with share-based compensation, which is a non-GAAP measure for Q4 2016 was negative 1.8 million compared to adjusted EBITDA of negative 0.8 million for Q4 2015. For the year ended December 31, 2016 -- fiscal year 2016, ChromaDex reported record net sales of 26.8 million, an increase of 22% as compared to 22 million for the year ended January 2, 2016 or fiscal year 2015. The ingredient segment generated net sales of 16.8 million during the year of 2016, an increase of 34% compared to 12.5 million for the fiscal year 2015. The core standards and service segment posted 11% growth as it generated net sales of 9.4 million for fiscal year 2016 as compared to 8.4 million for fiscal year 2015. Our scientific and regulatory consulting segment net sales decreased 37% from 1.1 million for fiscal year 2015, the $0.7 for fiscal 2016, again primarily due to our further emphasis on intercompany works supporting our ingredient segment. Gross margin for the year was 44% for 2016 versus 39% for fiscal year 2015. The net loss attributable to common stock holders for fiscal year 2016 was 2.9 million or $0.08 per share as compared to a net loss of 2.8 million or $0.08 per share for fiscal year 2015. EBITDA adjusted for non-cash charges associated with share based compensation, which is a non-GAAP measure for the fiscal year 2016 was negative $0.9 million compared to adjusted EBITDA of $0.2 million for fiscal year 2015. I next want to highlight some of the expenses incurred in 2016 that were discussed in our recent annual report filed with the SEC on form 10-K. The Company incurred 2.5 million in research and development expenses for fiscal year 2016, an increase of the 183% as compared to $0.9 million for our fiscal year 2015. These charges include human clinical trial fees and new ingredient developments costs. As revenue and available financial resources continue to grow, the Company plans to continue to increase research and development efforts with a continued focus on the ingredient segment. For fiscal year 2016, our patent maintenance expense increased to approximately $652,000, as compared to approximately $371,000 for 2015. As we continue to enhance our patent portfolio for our ingredient segment, we expect these expenses will continue to increase. Cash on hand at the end of year was $1.6 million and we also recently established a $5 million credit facility with Bridge Bank. With that, I will now turn the call back to Frank, so he can provide you with 2017 highlights.
Frank Jaksch: Thanks, Tom. 2016 saw a continued growth in the number of published research study as well as subsequent media attention regarding NR and NAD along with their importance in healthy agent. In fact, since the launch of NIAGEN, there have been more than 60 publish studies involving NR during the same time there were nearly 500 studies that have been published referencing NAD and NIAGEN. All indications point to 2017 being both a pivotal and validating year for ChromaDex, as preclinical and clinical research continues to publish. Business development becomes realized and pharmaceutical clinical trials began. We believe positive data from both human and animal studies will deepen the validation of NIAGEN safety, function, applications and efficacy and become a primary driver in ChromaDex striking business development deals and substantial revenue opportunities with large consumer product companies. On Wednesday, Fast Company published an article, the Business of Fast Inc., which highlights the importance of NAD. Referring to what the author wrote, which is a quote of the most promising dietary supplement maybe NR. I would encourage you to read the article when you have a chance. As more research publishes and as more clinical data validating the benefits of NR becomes available, we expect media attention to continue to increase. As anything related to healthy aging that is backed by science will continue to be a very hot topic. To support the education of the general public on these new but growing areas of interest, we are hoping to develop and create an educational website www.aboutnr.com, which is devoted entirely to the education on topics of NR and NAD. With the help of the many of world's foremost research authorities on these topics, we believe this site will become the scientifically validated information hub for NR and NAD education. As I highlighted in my February letter to shareholders, there are currently 12 human studies on nicotinamide riboside that are in various phases that can be found on politicaltrial.gov. I am only going to highlight a few today in the call. ChromaDex's second study currently running KGK is a 140 participant trial that we will evaluate with the effect of repeated doses of NIAGEN and NAD metabolic concentrations in blood, urine and muscle in healthy adults. This study will evaluate the impact of three doses levels of NIAGEN compared to placebo. The recruitment and dosing portions of this trial are currently in the final stages as the last participant is currently on study. The other study I would like to highlight is the University of Colorado older trial, which is assessing the efficacy of supplementation with NR for improving physiological function, mainly focused on vascular, motor and cognizant function in healthy middle age over adults. These trials will to be completed and the manuscript summarizing the study has been prepared for submission to a peer reviewed publish journal. In February, we announced that University of Iowa researchers have published an animal study on NR in the prestigious journal of International Association for the Study of Pain, revealing NR is an effective tool for revealing chemotherapy-induced peripheral neuropathy; pre-, during- and post-treatment with a common anti-cancer agent call paclitaxel. As the American Society of Clinical Oncology has issued a position paper that there is an unmet need for treatment that alleviate chemotherapy-induced peripheral neuropathy. I believe this has a huge potential to be a very significant business opportunities for NIAGEN. We are currently collaborating with the University of Iowa on filing an IND for the treatment of chemotherapy-induced peripheral neuropathy with NR, which is required to start an NIH funding clinical trial. The number of studies of NIAGEN showing positive effects are approaching an inflection point where peer reviewed published clinical data are likely to results in additional commercial opportunities for NIAGEN. We have been actively engaged with numerous large multi-national consumer product companies with respect to commercial opportunities for NIAGEN being included and/or featured in the number of branded consumer products within extremely large product categories. I am convinced more than ever that ChromaDex has an extraordinary opportunity to create substantial shareholder value with our patented NIAGEN, nicotinamide riboside. I believe a new vitamin in our ingredient of this magnitude is the type of opportunity that doesn’t come along very often. All of the important pieces of the puzzle are systematically falling into place, which will allow NIAGEN to become the next blockbuster ingredient. On behalf of ChromaDex's management, Board of Directors and employees, I want to personally thank you for your continued support. Now, let me turn the call back over to the operator for questions. Thank you.
Operator: [Operator Instructions] And our first question comes from the line of Ram Selvaraju with Rodman & Renshaw. Your line is now open.
Ram Selvaraju: I have just one catalyst-related question and then number of financially related things. The catalyst question I had was with respect to the ongoing clinical study which I believe in your press release you indicated was over 50% enrolled. Could you just refresh my memory as to when you anticipate reporting top line data from this study? And what if this data is positive would at point to as the appropriate next steps in clinical development groups?
Frank Jaksch: It's Frank. Sorry, guys, I'm managing this call from -- I'm on the road this week, so I try to handle as many as question as I can hear. So, the answer to your question is that, we have last patient on study right now. We're expecting the last patient to be off study sometime over the next few weeks, which has us with the study completed probably in early April, sometime in early April. And that timing wise, we would still need to do some blood work, analytical work on the blood samples as they come. And I think we will follow the same path that we did on our first clinical trial is that, once we get in an initial statistical read on the data we would put out some sort of a top line results as soon as we have that available we have to assume it's going to take a few months to get the blood data and the statistical data read through. So, I'm hopeful that we are able to be in position to have a top line results coming out probably by June or July, but the exact timing of that is going to be predicated based on the timing of when we're going to be able to have the samples to final samples analyzed. I hope that answers I mean that answered the bulk of your questions/
Ram Selvaraju: Well, the bulk and I just wanted to know because as I understand it, this is effectively to determine what the optimum concentration of NR is in enhancing NAD concentrations? So, what I wanted to know is once you have that information would you then be in a position to proceed to more direct efficacy oriented proof-of-concept clinical study?
Frank Jaksch: There are several of those that are already ongoing. The one I had mentioned on the call is related to the Colorado. That study is not really PK/PD-related dosing study. That one is driven more towards a national therapeutic endpoint. That one is completed and now is at the manuscript stage. And then, so our study is outside of just PK. We're doing the same three doses that we did in the first three over eight weeks 100, 300 and 1 gram. So, that is a piece of it, if it's a PK/PD side of this study is important, but we are also collecting tissue in this. So, we are doing muscle punches, and we're going to be collecting data that we should be getting data from our own trial that will give some indication of the therapeutic benefit, but we have to report more on that late so.
Ram Selvaraju: Okay, that's very helpful. And then I just had a couple of quick things for Tom, if I may. Could you comment Tom on the cost of goods recorded in the fourth quarter and whether you expect any significant improvements in gross margins during the course of 2017, whether you expect the gross margin to remain the same as what we have seen over the course of second half of 2016? And then also with respect to selling and marketing versus R&D, obviously it was mentioned that you expect to allocate more funding to R&D going forward, but on a relative basis it's seem as though there was significantly more allocated to R&D versus selling and marketing in the fourth quarter, and I just wanted to know whether you expect that to be a trend that specific going forward? Thank you.
Tom Varvaro: Okay, I’ll start with the R&D question first, and yes, I mean we believe that the trend towards more emphasis on R&D will continue going forward. From a sales and marketing standpoint, we are obviously going to continue to do some initiatives around, the ingredient segment particularly NR and NIAGEN, but the real cost factors are going to come from the R&D component. And then the first part of your question regarding margin, you are talking about the Company margin overall or just the ingredient segment?
Ram Selvaraju: Well, this would be overall because the cost to sales as reported in your income statement is across all the divisions of the Company, right?
Tom Varvaro: Yes. I mean there are margin by segment as well, but we expect to as the certain segments grow, the core segment, the services and standards. As those continued to grow, we should see margin improvements in that segment as well as ingredients. As the ingredients segment continues to grow and we continue to move larger volumes of ingredients across all the ingredients, as it to be expected the Company does expect to see further margin improvements whether those happen fairly through '17 or into '18 and '19, it's hard to say at this point.
Ram Selvaraju: Okay, and then could you give me a bit more color around the G&A expenses in the fourth quarter, as it looks like there was a bit of a jump there. And I just wanted to know whether that something that you anticipate is likely to persist in future quarters at the same level or is this with a typically high in the fourth quarter and this is so for what reason?
Tom Varvaro: I think we have mentioned in our earnings release that we had some higher than expected legal cost. And we had those throughout 2016 and we expect that our legal costs are going to be higher moving into 2017 as well.
Ram Selvaraju: Okay. And then Frank, I just wanted to know whether you could comment on Will Black joining the Company and its relations, if any to the longstanding relationship that ChromaDex has enjoyed with DSM, if there is any read thought we can get from that?
Frank Jaksch: Well, I mean I can comment on it. Will joined the ChromaDex team in May of 2016 and yes, he join from DSM and we -- that’s how we originally met Will was through our relationship with DSM. But I mean, I don’t have anything else really to comment besides that.
Operator: Thank you. And our next question comes from the line of Todd Horberg with Horberg Enterprises Your line is now open.
Todd Horberg: Frank, my questions are mainly for you. First, can I assume that you cannot answer any questions regarding the lawsuit?
Frank Jaksch: I'll recommend our position is that we are not going to comment on that as related to litigation. So, I think that’s a fair assessment.
Todd Horberg: Okay, fair enough. I happened to expect your fourth quarter revenues to be lower than it actually were due to the fact that Elysium was not going to be purchasing? Any NIAGEN, can you please tell me how they were so high?
Tom Varvaro: That's a good point. I mean that's a good question. We did have a strong performance even with the absence of a large customer in the fourth quarter, and look I mean that goes to the strengths of where we are with the growth of the business and the fact that we're not a single customer, although last year, we have one customer that was driving some growth in the earlier Q1 and Q2. The growth of NIAGEN and our ingredient business and all of our business continue to be robust regardless of that that issue. So the business is capable of growing without just having reliance on that one customer and you saw signs of that in Q4.
Todd Horberg: Okay, I do know that we have pickup an analyst and I still feel as although the Company has tremendously undervalued between orphan drug, the revenues that the Company has in the multiples that our comps have, the potential growth of NR and I personally think NR, when it is proving to work is worth a minimum of $2 billion. Do you have any thoughts on how to get a more accurate pricing of our stock at the current plan?
Frank Jaksch: That's a good point. I mean management team and my personal belief is that even if you look at us compared to our peer group, based on the results that we had just reported, the Company is significantly undervalued compared to our peer group. And we're not even trading fairly based on the multiple revenue that we just released for 2016 little more on a looking forward basis, so that's one piece of that. The analyst coverage, you are right, I mean we are actively since we've up list to the NASDAQ, we've been having more meetings regarding potential analyst coverage, and we're hopeful that we're going to have additional analyst starting to cover the story, and we appreciate the coverage that Rodman gives us, and we're expecting additional converge to follow and we believe that will be helpful as well. Does that cover it?
Todd Horberg: It covers that. But now the big picture of NR even though it's definitely, mentally satisfying to see these revenues at the current time, but these are actually coming from the small payrolls. In your earnings report I believe I can quote, you refer to dealing with large and multinational companies. So, the value that I'm talking about NR having is coming from these potential players? Can you -- I know that these companies take a long time and can you tell us what companies those are? And could you tell us how far or long you are with them and most importantly when you potentially see even though it's a forward-looking statement, you are converting them into revenues?
Frank Jaksch: That's a good question, Todd. I mean yes we have been messaging that we have been working on business development activity with larger companies Fortune 500 type companies. And no, I can't specifically comment on names for you, I wish I could, but unfortunately I can't as you probably expected me to answer.
Todd Horberg: I was hoping.
Frank Jaksch: I am sure it's worth you've asked, right. We have been working on several those deals for a long time and likely we have been saying -- one way, if you go back when we had originally launch NIAGEN. NIAGEN was launched essentially just over three years ago. And it's still very early in the science, although this is for finally get into a 2017, as I outlined in my letter also just discussed on the call. Peer reviewed publish science is definitely been a big driver for what's been going on over the past three years. A lot of this has been pre-clinical work, animal studies and such. We have a lot of clinical data that we have been highlighting the importance of that because it's a big deal for us, because that’s what's going to take it over the half in terms of what we need. The missing element is published human data for getting these things across the finish line. It is one of the big -- that’s why it's a big inflection point. So, just as we to talk about on the call and even during one of the questions, the clinical data that’s coming even though some of that may not be published under NADs. We have been able share certain data with these key clients, and we are moving these business developments as quickly as we can, considering that we're dealing with large companies. But the access to additional clinical data is, it has us in position that we are very optimistic that we are going to have some form of a deal in 2017. I am not going to give specific in terms of the exact timing of that because I don’t want to set an expectation that when exactly that’s going to happen, but things are coming together rather nicely on all those parts right now. And your comment about the revenue, yes, revenue is small right now. And we have been hearing a lot of commentaries since the results we published the result yesterday about profitability and profitability right now is not the primary motivation. Primary motivation is to try the drive the deals that we need to do. R&D patent, investing in our patent portfolio, continuing to spend money, and out in the community that we are talking to including some in the meetings that I have been working on today, we are getting a very positive response from the fact that our business model is able to generate cash and we are able to use that cash efficiently to reinvest it back and research to really drive these types of opportunities. And we catch little bit of static, if you will from some investors that that point to that has been a negative, it's not a negative. This is the best way that we should spend our money. R&D is the best thing we can drive on nicotinamide riboside side, and we are in a lucky position unlike a lot of our peer group that have to continue to raise money to do that. We are lucky to have cash for revenue generating business that helps offset some of those R&D cost, and I think that’s an incredibly valuable asset in developing these things. I think that was a longwinded answer to your question.
Todd Horberg: Well, that was great because you answered my next question because I actually, personally taken eight trolls about how could you have higher revenues in bigger loss. I had those asked to answer for that question. So, I could stop answering that question. And you just answered it.
Frank Jaksch: Well, in the specific by the way goes back to the earlier questions as well as look we have had an increase of legal cost over the past year. Some of it is related to some of matters that we have to deal, unfortunately we have deal with right now. Some of it relates to the issues that we are having with them one customer. So, those things all wrapped up I mean all in all we actually things turn out pretty well for the year and considering what we have within or we have to protect NR as much as we can.
Operator: Thank you. And our next question comes from the line of Anthony Golo [ph], a Private Investor. Your line is now open.
Unidentified Analyst: First, I want to congratulate you and the Company on the remarkable progress that has been made. To be totally candid with you, I was in the camp constantly looking for earnings and earnings, and I just switched, I concurrent with the approach vis-a-vis R&D. I honestly think that is the, but that could really make the Company and I just have a couple of very quick questions for you. In terms of as our trials become more validated, you foresee us negotiating maybe with some major food or beverage companies to consider NIAGEN, as an additive and that might be also applied in the nutritional snack bars? So, thank you again I appreciate your work.
Frank Jaksch: Thanks, Anthony, appreciate your support as a shareholder. And yes, the short answer there is, I have been talking about this little bit here and there, but yes, we are actively working on business developments. The food and beverage category is in active for us. As you know, we were in 2016 in August of 2016, we achieved graph status from the FDA which is an important milestone for us and that sort of opened the door for us to amplify that dose discussions that we are having with these various groups that we're having those discussions with. So, I mean food is NIAGEN's platform ingredient, and as a platform ingredient, we have a lot of shouts on this. Food and beverage is going to be a very much in active target, it's very fertile ground for us with this story, largely because of the nutrient need. And if you would look at ingredients or replace some ingredients that are fortified into foods, I mean that you have to have a good nutritional need story there. I mean vitamin D or calcium for bones or omega-3 fatty acids for heart and brain. And those are the types of large picture stuff that gets picked up and in food we have the story here as well. So, as we know working with our larger food companies are, there is not very many of them, and they are not exactly the fastest to move. But it's actually amazing that we have the level of interest that we've had at such an early stage and although they are moving slowly things are moving in a right direction with those guys.
Operator: Thank you. And our next question comes from the line of Matt Dhane with Tieton Capital Management. Your line is now open.
Matt Dhane: I was curious you talked about your public relations strategy. What you expect to have that fully rolled out and how impactful could that be on 2017?
Frank Jaksch: Well, you are starting to see signs of it. We started -- we really only started actively developing a PR campaign for the Company last year. And we with recent hires, we've started building that out. We are trying to create uniform messaging for what it is that we want to go and talk about. We announced the launch of this website about nr.com, which is a piece of that strategy. We want to have all the block and tackle in place. So, they want us starting to really go push to invest in a big PR campaign. And that’s partially going to be around the NIAGEN story, the nicotinamide riboside story to trying to build awareness at the consumer level to this through some sort of PR campaign to drive media attention to the nutrients. And science is ultimately the big underlying of what drives that and drives awareness to come at the level of media, and the higher the level of science, the more they will pick up on a clinical -- human clinical studies are going to be a key part of that program. We are starting to dial it up. We are starting to get more attention to it. And it's going in a right direction right now in 2017, the additional clinical data is going to be a big point for us, we know this data was coming, it's not -- it's always trying to determine when the access to peer reviewed publish data is going to be the valuable part of hoping drive that type of message. But ultimately, that’s the one key that’s missing right now is that, the human data and with the two studies that we have on a horizon. We can at least start planning around those and planning. And we are getting more advanced notice by the way of other science coming from our collaborators. And if you will notice, we have been actively putting pressure leases about peer reviewed publish data as it becomes available and we are starting to now do outreach on a PR level to start drive attention to that science as well. But that’s kind of the core where we are with it.
Matt Dhane: Okay. So, really think about whenever, if some of the human studies really rollout here later this year that frankly that’s going to be chance and opportunity to really go full core press and you're just going for some that data rollout?
Frank Jaksch: Yes, it's a smart thing to do because I don’t want to come out with -- it's a stronger story with human data. Mouse data may get you a little bit of navel here or there even when it's hard to get attention. It's surprising the level of attention we have got just like this Fast Company piece backup picked up this week. That had an impact. It had a fairly decent size impact and that’s the type of stuff we want to see coming.
Operator: Thank you. And I am showing no further questions at this time. I would now like to turn the call back to Frank Jaksch for any closing remarks.
Frank Jaksch: So, just to wrap it up, I would like to thank all of our, all the long-term shareholders, a lot of the guys that I talked to on a regular basis that I know are on this phone call. We appreciate your support and your patients. And look, we are developing something that’s big here and it takes time to do that, but look the good news which we have been talking about is that I think 2017 has always been backing up to me a catalyst or an inflection point here for us. We as a management team are excited about 2017, and I hope that all of you are equally as excited about what we are doing here because we have something that’s really truly special with NIAGEN, and we want to do the best we can with it. So, thanks everyone.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.